Operator: Good morning, ladies and gentlemen, and welcome to Horizon Pharma’s Q2 2013 Earnings Conference Call. (Operator instructions.) As a reminder, today’s conference call is being recorded. I’d now like to turn the conference over to your host, Mr. Bob De Vaere, Executive Vice President and Chief Financial Officer. Please go ahead, sir.
Bob De Vaere: Thank you. Good morning and welcome to Horizon Pharma’s Q2 earnings call. This morning we issued a press release that provides the details of the company’s results for Q2 ended June 30, 2013, as well as an update on DUEXIS and RAYOS and other recent business highlights. This press release is available on our website at www.horizonpharma.com. Leading the call today will be Tim Walburt, Chairman, President and Chief Executive Officer of Horizon Pharma who will provide a corporate update. Todd Smith, Executive Vice President and Chief Commercial Officer will provide an overview on the commercial performance of DUEXIS and launch of RAYOS, and I will provide an overview of the financial highlights for the quarter ended June 30, 2013, before turning the call back over to Tim for closing remarks. As a reminder, during today’s call we will be making certain forward-looking statements. These statements may include statements regarding our financial outlook and cash runway, our sales and marketing plans, potential growth of our business, projected results of pricing decisions, expected benefits and costs of expanding our sales force, and our plans to expand our Prescriptions Made Easy program. These forward-looking statements are based on current information, assumptions and expectations that are subject to change and involve a number of risks and uncertainties that may cause actual results to differ materially from those contained in the forward-looking statements. These risks are described in our filings with the Securities and Exchange Commission including our Annual Report on Form 10(k) for the year ended December 31, 2012, and subsequent Quarterly Reports on Form 10(q). You are cautioned not to place undue reliance on these forward-looking statements and Horizon disclaims any obligation to update such statements. During the call we will also discuss non-GAAP financial measures to help you understand our underlying business performance. The GAAP reconciliations are provided in our press release which has been posted on our corporate website. I will now turn the call over to Tim.
Tim Walburt: Thank you, Bob. Thank you everyone for joining us on the call this morning. During Q2 2013 we continued to execute on our commercial strategy of driving DUEXIS sales and launching RAYOS. We delivered gross and net sales increases of 64% and 34% respectively versus Q1 2013. We also exited the quarter with a strong balance sheet that included approximately $69.3 million in cash and cash equivalents versus $81.1 million at the end of Q1. We believe that our current cash position, the recent acceleration in our sales of DUEXIS and RAYOS, and our commitment to closely manage expenses further lengthen our runway for cash into Q3 2014 and potentially beyond. As Bob will review in his remarks, we’ve also received aggregate gross proceeds of $6.2 million from sales of our common stock under our ATM facility as of August 6, 2013. For DUEXIS, prescription demand continued to grow in Q2 and we were pleased with the continued momentum alongside a price increase we implemented on March 15, 2013. Gross and net sales for DUEXIS in Q2 2013 were $15.8 million and $10.5 million respectively, representing increases of 136% and 98% respectively versus Q1 2013. On the prescription side, at the time of our price increase in March we had expected a short-term negative impact on prescriptions during Q2. We are very pleased that while the price increase did impact our cash business and high co-insurance patients, our sales force grew strong prescription growth in the broader commercial business. As a result, we grew total prescriptions 5% versus Q1 2013. Equally important is that our commercial efforts to drive DUEXIS prescriptions towards more chronic osteoarthritis patients drove a 9.3% increase in total pills dispensed. The pills per prescription for DUEXIS rose from about 71 to January to over 76 in June, adding over $25 to the value of each DUEXIS prescription written. In addition, our refill rates for DUEXIS increased 3.7% in Q2 versus Q1 2013. Our sales force also continued to increase the number of physician targets prescribing DUEXIS as we had just under 9000 prescribers in Q2 versus approximately 8000 in Q1. Gross to net for DUEXIS increased from 20.6% in Q1 to 33.1% in Q2, largely driven by rebates and reductions for certain governmental and third-party payers along with our co-pay buy down program which ensures access to DUEXIS at a reasonable out-of-pocket costs to patients. On June 1, 2013, we provided notice to Mallinckrodt that we’re terminating our non-exclusive DUEXIS co-promotion agreement. We took this action because Mallinckrodt did not attain minimum levels of prescriptions from targeted physicians for two consecutive quarters during the period prior to September 30, 2013. As we prepared to terminate the contract we began actively promoting DUEXIS to Mallinckrodt physician targets on May 6th. Since that point, based on eleven weeks of Source Healthcare Analytics weekly data, prescriptions among those targets have grown 45%; and prescriptions have grown 31% among those targets since we made the announcement on June 3rd. As prior announced we have hired 20 additional field representatives to promote DUEXIS and have reallocated sales territories and efforts of our existing sales force. These additional Horizon representatives have been fully trained and recently entered into the field. At this point we now have 150 representatives calling primarily on primary care and orthopedic surgeons focused on DUEXIS and we have 20 rheumatology specialists who are calling on the top 1500 rheumatologists with a primary focus on RAYOS and secondly DUEXIS. We expect the addition to our sales force will fuel further growth for DUEXIS as we believe there remains significant untapped potential in the marketplace. We also announced that the expense of the additional representatives will be offset by elimination of co-promotion fees that were paid to Mallinckrodt and therefore will not increase our overall cash burn in line with our commitment to carefully manage our costs. A key driver of our growth for DUEXIS continues to be our business-to-business sales strategy where we have focused on getting sales representatives that have significant business-to-business experience. We’ve also implemented a cohesive co-payment plan and expanded our pilot program with local and regional specialty pharmacies which allows DUEXIS to be shipped directly to patients. We’re encourage by the positive feedback we’re experiencing with this program that Todd will discuss in more detail shortly. In addition, we confirmed in May that we received our fifth Notice of Allowance from the US Patent and Trademark Office since October 11th, validating the strength of our intellectual property for DUEXIS with patent terms currently out to 2026. During Q2 our sales force also continued to make inroads with the RAYOS launch. During the first half of 2013, approximately 90% of our sales force incentive was focused on DUEXIS which is our primary growth driver. With that in mind we were very encouraged by the interest and acceptance of RAYOS by both rheumatologists and patients. As a reminder, while RAYOS is approved for over 80 indications we’re focused on rheumatoid arthritis and polymyalgia rheumatic in the rheumatologist’s office and with select key primary care physicians. Gross and net sales of RAYOS in Q2 2013 were $0.7 million and $0.6 million respectively, compared to net sales of $0.4 million in Q1. According to monthly data from Source Healthcare Analytics, total prescriptions for RAYOS increased 80% versus Q1 2013, with 2241 reported in Q2 compared to a little over 1200 prescriptions in Q1. Cumulative prescribers of RAYOS were approximately 700 since launch with physicians writing approximately 3700 total prescriptions. Our initial experience with RAYOS has allowed us to continue to refine our commercial approach. With patient co-pays for biologics in rheumatoid arthritis averaging about $5 per month versus our $25 average for RAYOS, effective next week we have lowered the patient co-pay for RAYOS to $5 to remove patient costs from the discussion with rheumatologists. Outside the US, RAYOS known Lodotra is now approved in over 30 countries, reimbursed in Germany, Italy, Switzerland, and Sweden; and marketed and sold in numerous other countries. In Europe Lodotra is marketed through our distribution partner Mundipharma which also has certain commercial rights in Asian and Latin American countries. Germany and Italy are the two countries currently driving the majority of Lodotra sales outside the US, and reimbursement authorization for Lodotra in additional countries can be a slow process as it is determined on a country-by-country basis. For the first half of the year we reported gross and net revenue of $4.7 million and $4.6 million respectively for Lodotra, with $1.2 million of gross and net revenue coming in Q2. As a reminder, Lodotra Europe revenues are not linear, do not represent sales to the market, but rather our sales to our distribution partner Mundipharma and we therefore caution that Lodotra Europe numbers can vary significantly from quarter to quarter as we satisfy the delivery requests from Mundipharma. Until we see reimbursement and launch of Lodotra in the larger European countries such as France, Spain and the United Kingdom, we expect annual revenues to Horizon to remain constant. Now I will turn the call over to Todd who will discuss our commercial highlights for the quarter.
Todd Smith: Thank you, Tim, and good morning everyone. And also thank you again for joining us today. Let me start by saying we continue to be very pleased by the momentum we are experiencing with the sales performance for DUEXIS. According to monthly data from Source Healthcare Analytics, total prescriptions for Q2 2013 were approximately 48,191 scripts compared to 45,879 total prescriptions for Q1 2013. This is the 5% increase mentioned by Tim earlier on the call. To date, more than 15,700 physicians have written prescriptions for DUEXIS with the majority of prescriptions being written by primary care physicians, followed by orthopedic specialists and rheumatologists. Looking at the other NSAID and specialty pharma launches at comparable stages post-launch, we continue to be pleased with the productivity of our sales force as measured on a prescription per representative basis. Also as mentioned earlier, we recently increased our sales force by approximately 20 total representatives. This brings the total number of sales representatives to 170. Over the past quarter we made a great deal of progress in our strategy to restructure our sales territories and integrate the additional sales team members. Also as previously reported last year we implemented a pilot program with local and regional specialty pharmacies. This is called Prescriptions Made Easy or PME. This allows DUEXIS to be shipped directly to patients the same day or early the following morning. The program is designed to eliminate the barriers that often exist with traditional pharmacy processes. The goal of this program is to ensure that when a physician prescribes DUEXIS the patient receives DUEXIS. We’ve learned a lot in the early stages of this program, and with 8% to 10% of our prescriptions going through the pilot program now we believe the results already have been outstanding. We will continue to roll the program out in a controlled manner across the country throughout the rest of the year and into early 2014. We believe that over time as much as 25% to 30% of our prescriptions may run through this program and we’re also formalizing plans to roll this out to RAYOS prescribers in Q3 as well. Our recent market research continues to show that approximately 85% of commercial claims are being approved for DUEXIS with the company providing cost-effective access to patients through our co-pay assistance program. Over 80% of DUEXIS commercial claims continue to have patient out-of-pocket costs of $25 or less. Also during Q2 we continued to focus efforts on reimbursement and commercial plans, and as a result we signed agreements with a number of pharmacy benefits managers including CVS Caremark and DSI Medical. With about 40% of our total business going through these contracts, this allows us to execute our Tier 3 and co-pay buy down strategy along with driving the per-script value of our products. Now I’d like to update you on the progress of RAYOS as well. We are encouraged by the feedback from the rheumatologists and our sales force. We continue to be pleased with the initial response from the rheumatoid arthritis community and there were over 330 cumulative prescribers of RAYOS in Q2 and over 700 cumulative prescribers of RAYOS since launch according to the SHA data through the end of June. These physicians have written over 3700 total prescriptions to date. While more than 90% of patients on standard rheumatoid arthritis therapy including Prednisone still complain of morning symptoms, post-launch feedback shows that 71% of physicians in our research indicated that they prescribe RAYOS because of the 55% reduction on average in the duration of morning sickness. And over 50% prescribe RAYOS for its unique design which allows delivering Prednisone after a four-hour delay, and this allows patients to conveniently take RAYOS at bedtime. This research is consistent with our launch strategy which positions RAYOS as a rheumatoid arthritis therapy that allows patients to have less pain and sickness in the morning, providing a significant improvement in quality of life. We have already had over 100 clinical presentations to managed care with very positive feedback. We are currently seeing similar if not better coverage of RAYOS by commercial payers than we have seen with DUEXIS. We also plan to ensure patients have access to RAYOS by trying to make sure their out-of-pocket expenses are very manageable. Our goal as Tim mentioned is now for a majority of patients to have an out-of-pocket cost of $5 per month. So in summary we’re very excited about the steady upward momentum we’ve reported for both DUEXIS and RAYOS in Q2 2013. As we look ahead we will continue to focus our commercial efforts on the growth of DUEXIS and RAYOS as we see increasing physician and patient demand for both brands. We look forward to keeping you updated on the progress and I’ll now turn the call back over to Bob. Thank you.
Bob De Vaere: Thanks, Tom. For Q2 ended June 30, 2013, gross and net sales were $17.6 million and $12.3 million respectively compared to gross and net sales of $4.6 million and $3.8 million respectively for Q2 2012, and gross and net sales of $10.7 million and $9.2 million respectively in Q1 this year. DUEXIS gross sales were $15.8 million and net sales were $10.5 million in Q2 2013 after deducting trade discounts and allowances of $3.7 million and co-pay assistance costs of $1.6 million compared to gross and net DUEXIS sales of $2.1 million and $1.6 million respectively during Q2 2012, and gross and net sales of $6.7 million and $5.3 million in Q1 this year. The quarter-over-quarter sequential increases in DUEXIS sales was primarily due to increased product shipments as a result of the company’s expanded sales force as well as an increase in the product price. DUEXIS represented 89% of gross sales and 86% of gross sales during the quarter ended June 30, 2013. RAYOS gross and net sales for Q2 2013 were approximately $0.7 million and $0.6 million respectively compared to $0.4 million each in gross and net sales in Q1 2013. Lodotra gross and net sales in Q2 2013 were $1.2 million each compared to gross and net sales of $2.5 million and $2.3 million respectively in Q2 2012, and $3.6 million and $3.5 million of gross and net sales in Q1 this year. The $1.3 million decrease in Lodotra gross sales in Q2 2013 versus the same period in the prior year, and the $2.4 million decrease in Lodotra gross sales on a quarter-over-quarter sequential basis was primarily attributable to lower product shipments to the company’s European distribution Mundipharma. Lodotra sales to Mundipharma occur at the time the company ships product based on its estimated requirements. Accordingly the company’s sales are not linear nor tied to Mundipharma sales to the market and therefore fluctuate from quarter to quarter or year to year. Net loss for the quarter ended June 30, 2013, was $18.4 million or $0.29 per share based on 62,872,173 weighted average shares outstanding compared to a net loss of $22.8 million or $0.68 per share based on 33,715,703 weighted average shares outstanding for the quarter ended June 30, 2012. Non-GAAP net loss for the quarter ended June 30, 2013, was $15.0 million or $0.24 per share compared to a non-GAAP net loss of $20.6 million or $0.62 per share for Q2 2012. We provide the non-GAAP financial measures which we believe can enhance an overall understanding of our financial performance when considered together with GAAP figures. Please refer to the section of our Q2 Earnings Release regarding use of non-GAAP financial measures for a full discussion on this subject, and again, our press release is available on our corporate website. The company had cash and cash equivalents of $69.3 million at June 30, 2013. As of June 30, 2013, Cowen& Company, the company’s agent, has sold 1,266,161 shares of the company’s common stock under its at-the-market facility with gross proceeds to the company of $3.2 million. The company has received aggregate gross proceeds of $6.2 million under the ATM as of August 6, and has $21.2 million remaining available under the ATM which can potentially supplement or extend the company’s cash runway. Research and development expenses decreased $1.4 million from $4.2 million during the three months ended June 30, 2012, to $2.8 million during the three months ended June 30, 2013. The decrease in research and development expenses during Q2 2013 was primarily associated with the classification of $1.2 million in medical affairs expenses and sales and marketing expenses, and a $0.3 million reduction in regulatory submission fees which was partially offset by a $0.1 million increase in equipment expense. During Q1 2013 in connection with the full commercial launch of RAYOS, the company began to classify its medical affairs expenses which consist of expenses related to scientific publications, health outcomes, biostatistics, medical education and information and medical communications as sales and marketing expenses. Prior to the cull commercial launch of RAYOS in January of 2013, these medical affairs expenses were classified as part of research and development. Sales and marketing expenses increased $6.0 million from $10.5 million during the three months ended June 30, 2012, to $16.5 million during the three months ended June 30, 2013. The increase was primarily attributable to $4.5 million in salaries and benefits expenses due to the increase in staffing in the company’s field sales force, the new classification of $1.2 million of medical affairs expenses to sales and marketing, and a $0.2 million increase in marketing and commercialization expenses. G&A expenses increased $0.6 million from $4.6 million during the three months ended June 30, 2012, to $5.2 million during the three months ended June 30, 2013. The increase was primarily attributable to a $0.7 million increase in salaries and benefits expenses primarily associated with new employees, and a $0.2 million increase in higher facilities costs which was partially offset by a reduction in consulting expenses of $0.2 million. Interest expense increased $0.2 million from $3.2 million during the three months ended June 30, 2012, to $3.4 million during the three months ended June 30, 2013. The increase in interest expense was primarily attributable to higher debt discount expenses associated with the amendment to our senior secured loan in September of 2012. During the three months ended June 30, 2013, the company reported a foreign exchange gain of $0.5 million compared to a foreign exchange loss of $1.4 million during the three months ended June 30, 2012. The foreign exchange gain in Q2 this year was primarily due to a reduction in the currency translation adjustments in US dollar-denominated transactions for our Swiss subsidiary Horizon Pharma AG, whose functional currency is the Euro, in addition to a strengthening of the Euro against the US dollar during the quarter ended June 30, 2013. Income tax benefit increased $0.2 million from $0.2 million during the three months ended June 30, 2012, to $0.4 million during the three months ended June 30, 2013. The increase in the income tax benefit during Q2 this year was primarily due to a reduction in the company’s deferred tax liability resulting from higher intangible amortization expense in the current period. The increase in amortization expense was associated with the FDA approval of RAYOS in July, 2012, which required the company to begin amortization and to classify an indefinite lived intangible asset to a definite lived intangible asset on the balance sheet. I’ll now turn the call back over to Tim.
Tim Walburt: Thank you, Bob. In summary our fundamental performance over the past six months has positioned us to achieve strong financial performance and build a specialty pharma company that leverages our commercial infrastructure and allows us to evaluate new opportunities to grow our business. We entered the second half of the year focused on continuing to drive DUEXIS and RAYOS while managing expenses in a disciplined manner to reduce or eliminate the need for near-term shareholder dilution. We’re now moving in the right direction as we’ve strived to deliver positive cash flow from DUEXIS and transition the company to profitability. Thank you for joining us today and we would now like to open the call up for questions. 
Operator: Thank you. (Operator instructions.) Our first question comes from Annabel Samimy of Stifel Nicolaus. Your line is now open.
Annabel Samimy – Stifel Nicolaus: Hi, thanks for taking my questions. I just wanted to ask you, on your cash position, it’s great that you’re extending it – that your cash will last you for about another year. To what extent is that just from the current commercial performance and how much of the ATM is currently in that projection? And I have some follow-ups, thanks.
Tim Walburt: Our projection to achieve and have our cash last out until Q3 does not include additional ATM, so that’s based on performance.
Annabel Samimy – Stifel Nicolaus: Okay, great. And then separately, on the current price increase, I guess we’ve seen the prescriptions stabilize a bit from here, I mean from the initial price increase but we’ve seen the gross-to-net also expand. So is this the new gross-to-net level? Is it going to continue to expand? And what are some of the early metrics you’ve seen that we’re getting past the stabilization of prescription from some of the losses you’ve had from your cash pay customers and we’re going back into a growth trajectory now?
Tim Walburt: So first on the growth trajectory, we expected a decline in Q2 and prescriptions grew 5%. Total pills dispensed grew 9% and we’ve seen continued growth accelerating in a similar fashion in the month of July just based on the weekly prescriptions. So we’re very pleased with that and we expect that to continue to grow on a prescriptions basis. From a gross-to-net perspective, it did increase and some of it was to ensure that we enabled cash patients to get access to DUEXIS and some who had higher co-insurance. So for instance, we used to pay a max out-of-pocket to patients of about $50 and we raised that to $130 for the patient. So I think it’s too early to specifically guide to a gross-to-net percentage. I think we need to monitor it over another quarter or two to see what the stable rate is going forward. But we’re very pleased that we’ve had acceleration in the prescriptions above our expectations in Q2 that’s continued to grow through July so far and that’s what we’re focused on.
Annabel Samimy – Stifel Nicolaus: Okay, great. And another question if I may: the SG&A, you’re adding 20 reps, you mentioned that it’s not going to come at any cost. So the $16 million that you reported this quarter in SG&A, is that the right level going forward even with these 20 reps? Or is there just incremental increases from here?
Tim Walburt: We don’t expect any increases. Bob, do you want to comment further?
Bob De Vaere: I think we’re at a fairly level run rate at this point.
Annabel Samimy – Stifel Nicolaus: Okay. Alright, great. And any chance that we’re going to get any revenue guidance for DUEXIS in the future?
Tim Walburt: In the future, yes.
Annabel Samimy – Stifel Nicolaus: Great. How about in the near future? [laughs]
Tim Walburt: [laughs] Be specific with your question, right. 
Annabel Samimy – Stifel Nicolaus: I’d like it in the next quarter future.
Tim Walburt: It’s a good question and I think it’s a little too early given some of the changes. And we’re very pleased with Q2. I think as we look over the next few quarters that’ll give us a lot more clarity going forward.
Annabel Samimy – Stifel Nicolaus: Okay, great. Thank you.
Tim Walburt: Thanks, Annabel.
Operator: Thank you. (Operator instructions.) Our next question comes from Charles Duncan of Piper Jaffray. Your line is now open.
Charles Duncan – Piper Jaffray : Hi guys, thanks for taking my question and congratulations on a pretty decent quarter. So regarding the sales force changes that you mentioned, when do you think that those additional 20 reps will be fully up to speed? And are they going to be able to access fundamentally a different type of doc? It wasn’t clear to me if they were incremental or if that’s a new initiative.
Tim Walburt: So the goal for the incremental 20 reps, Charles, is to help expand. So overall territories got a little smaller and it allows us to fully cover the top tier of Mallinckrodt targets that we took over. We’ve been very pleased just since the announcement on June 3rd. Prescriptions among former Mallinckrodt targets have grown 31%. So as far as when those new 20 reps achieve their kind of optimal contribution, we would expect over the next quarter for them to really start contributing. The first four, six weeks is as they’re getting out, learning their territories and then we start seeing acceleration from there. So and we expect as we move into Q3 those 20 reps will begin to incrementally add value.
Charles Duncan – Piper Jaffray : And then Tim, with regard to that Prescription Made Easy Program, I like that – that seems like a cool program in terms of facilitating access. Can that also reduce the lack of refill prescription activity as well as new activity? And does that have any impact on potential seasonality?
Tim Walburt: So the question relative to refill rate and as Todd mentioned, we have about 10% to 12% of our prescriptions now going through it, and we’ve definitely seen a lift in prescriptions to the program because each month there’s an outreach aspect of it where our contracted specialty pharmacies reach out to the patient. So we have seen an early lift in refills among those patients. Typically with patients with osteoarthritis and rheumatoid arthritis there isn’t a lot of seasonality. It’s primarily driven just by how many weeks in a month – that drives changes a lot of times in the market month over month. But there isn’t a tremendous amount of seasonality involved in that.
Charles Duncan – Piper Jaffray : Okay, and then your thoughts on pricing at this point on DUEXIS?
Tim Walburt: I think with DUEXIS, as Todd mentioned about 40% of our scripts go through both CVS Caremark and DSI Medical. And we’ve got some pricing flexibility built within those contracts, and where we can we’ll continue to leverage the value side of it. So I would expect us to continue to… I don’t think we’re taking any price increases with DUEXIS in the magnitude of what we’ve done but I think we’ll be doing market level if not a little more if it presents itself.
Charles Duncan – Piper Jaffray : And my final question is more strategic-thinking: it’s clear that at least in this last quarter you’ve really made some traction, gotten some traction in terms of marketing in a tough space. That should open the door to new opportunities. Any plans there – in-licensing, co-promo, acquisition? And how do you think about that relative to your cash resources?
Tim Walburt: Good question, Charles. So for us, we are not looking right now at co-promotions. Our focus in the near-term has been to drive DUEXIS, drive RAYOS, get our business on a path to profitability. We believe we’ve really moved the needle in this quarter and are really encouraged over the next few quarters to see where we’re going. We think that as things evolve from that perspective it’ll put us in a better position as you mentioned to look at additional products or assets. And we don’t expect to use existing cash to acquire those products; we would look for other strategic avenues. Our cash is focused on driving our organic business.
Charles Duncan – Piper Jaffray : Thanks for taking the questions.
Operator: Thank you. And at this time I’m not showing any further questions so I’d like to turn the call back to Mr. Tim Walburt, Chairman, President and CEO for closing remarks.
Tim Walburt: Thank you, everyone, for taking the time this quarter. We feel very good about Q2 and the first half overall, and that sales acceleration as allowed us to extend our cash guidance and we’re looking forward to continuing to progress in the future quarters. So thank you very much for your time and have a great weekend. Goodbye.